Operator: Good afternoon. Welcome to the Wireless Ronin Technologies’ Second Quarter 2012 Earnings Call. My name is Vinson, I will be your conference operator this afternoon. Before we begin today’s call, I’d like to remind everyone that this call will be available for replay starting later this evening. A webcast replay will also be available via the link provided in today’s press release as well as available on the Company’s website at wirelessronin.com. Now I’d like to turn the call over to Erin Haugerud, Wireless Ronin’s, Manager of Communications and Investor Relations. Erin?
Erin Haugerud:
Scott W. Koller: Thank you, Erin. Good afternoon, everyone, and thank you for joining us on today’s call to discuss our Q2, 2012 results. Our quarterly results reflect our continued focus on driving margin expansion and expense optimization. This focus allowed us to achieve several milestones in Q2, including record quarterly recurring revenue, record gross margin percentage, as well as lowest non-GAAP loss in the Company’s history. While overall revenues were down due to fewer orders from Chrysler as they work through their existing inventory, our relationship with Chrysler has served as a proving ground and springboard toward diversifying our customer base and product line. This is demonstrated by the major win with Thomson Reuters in Q2. This important win also reflects Thomson Reuters’ confidence in our ability to handle large-scale rollouts and provide leading edge technology that not only meets their requirements today, but will also advance and scale with their future needs. I will talk more about these wins and other operational highlights in a few minutes. But first, I’d like Darin to walk through the financial results for the period. Darin?
Darin P. McAreavey: Thanks, Scott, and good afternoon everyone. Revenue in Q2, 2012 decreased 12% sequentially to $1.6 million from the prior quarter and decreased 49% from the same year-ago period. As Scott mentioned, the decrease in both periods was primarily due to the reduced orders for the iShowroom branded tower application as Chrysler continue to install from previously purchased inventory. Although we experienced a year-over-year decline in key half quarters, both Chrysler and individual Fiat dealership, in the first half of 2012. We believe that we will receive additional orders for interactive Branded Tower Salon featuring iShowroom as Chrysler is nearing full deployment of the May 2011 order for 400 dealership. At the end of Q2, we had recognized a total of 900,000 of purchase orders for which revenue will be recognized in future quarters. Recurring revenue in Q2, 2012 increased 2% sequentially to a record $475,000 or 31% of total revenue, and increased 19% from the same year-ago period. Gross profit totaled $945,000 or record 61% of revenue compared to $949,000 or 54% of revenue in previous quarter and $1.4 million or 46% of revenue in Q2 of 2011. Net loss totaled $1.2 million or $0.05 per basic and diluted share, this was an improvement from the net loss of $1.8 million or $0.08 per basic and diluted share in the previous quarter. And a net loss of $1.4 million or $0.07 per basis and diluted share in the same year-ago period. Q2, 2012 net loss included a $132,000 of non-cash stock compensation expense versus $161,000 in the previous quarter and $178,000 in Q2 of 2011. For the quarter our non-GAAP operating loss totaled $999,000 or $0.04 per basic and diluted share. This was the lowest quarterly non-GAAP loss since going public. This compared to a non-GAAP operating loss of $1.5 million or $0.06 per basic and diluted share in the previous quarter and a loss of $1.1 million or $0.06 per basic and diluted share in the same year-ago period. We’re encouraged by these improving results and we will continue to push ourselves to optimize our organization, improve our processes and grow revenue. Now turning to the balance sheet. Our net working capital position was $2.7 million at the end of Q2, 2012 compared to $3.6 million at the end of the prior quarter. This completes my financial summary. For a more detailed and complete analysis of our financial results, see our Form 10-Q, which we expect to file by August 14th and will be available at www.sec.gov as well as our website. Now I’d like to turn the call back over to Scott to provide an overview of our operational activities and developments. Scott?
Scott W. Koller: Thanks, Darin. As our relationship with Chrysler continues to advance, we’re focused on diversifying our customer and revenue base. As an example, we sign an exclusive global marketing contract with Thomson Reuters during the quarter. This win validates confidence in our ability to manage large scale rollouts as well as provide cutting edge technology to meet evolving client needs. A key driver to this exclusive agreement was the continued advancement of our RoninCast software platform as we continue to invest in the development of new features to strengthen and broaden our product offering. Some of the new enhancements include the ability to automatically convert content for smartphone and tablet delivery, enhanced data integration capabilities for data driven content as well as integration with social media tools, new organization and control features allowing users to align content to their organizational structures and enhance performance and usability. In addition, our RoninCast software now features an enhanced reporting infrastructure for improved system monitoring and business intelligence. This along with the full upgrade to our ticket management and CRM system provides customers with additional support capacity for large scale rollouts and network management. Our CTO Ben Nelson and the development team had done an outstanding job of enhancing the RoninCast software platform. A key objective of these initiatives is to provide our customers with digital signage and marketing technology solutions that provide a measurable ROI and enhance customer experience. We will continue to invest in our development to further differentiate Wireless Ronin in this highly competitive industry. As I previously mentioned, Thomson Reuters represent a major win in our financial services vertical during the quarter. Thomson Reuters sales and account management team will sell a new digital signage solution called Thomson Reuters Knowledge Direct Digital Signage to retail financial services locations worldwide. The solution is designed to inform, entertain and captivate public audiences by combining a customer’s messaging with Thomson Reuters news, making it ideal for branches, lobbies, stations, corporate offices, airports, and other public areas. Our end-to-end solution is currently deployed at more than 440 Thomson Reuters’ locations, in over 50 countries. We are already seeing traction in this important vertical and look forward to working with Thomson Reuters’ sales team to further penetrate the 300,000 location market opportunity. Our sales pipeline across our three key verticals continues to expand. As we leverage our strong first-mover advantage in this young growing market. In particular, we’re seeing increased activity with automotive and retail applications. In addition, the QSR industry opportunities continue to develop, driven by menu board optimization and regulatory compliance initiatives. Our senior VP of sales and marketing Jane Johnson and her team have done a great job in building a significant pipeline including new marketing technology opportunities, which go beyond traditional digital signage applications. They remain focused on converting their activity into increased sales for the second half of the year and beyond. Our strong gross margin performance in Q2 as a result of a favorable sales mix of hardware, software and services. However, it can also be attributed to managing our business correctly. I assure you we will remain focused on our day to day operations in executing on our long-term business plan. This includes increasing market share in our key verticals as well as achieving profitability and positive cash flow. We will achieve these goals by driving sales, keeping expenses aligned with revenue, and equipping the Company to support large scale projects. It also reflects our shift toward high margin, marketing technology applications, which we made a primary part of our business since we launched our new strategy last year. Before we open the call to your questions, I’d like to express on behalf of the entire leadership team, our appreciation of the continued support from our partners, clients, employees, and shareholders. Now with that, we’re ready to open the call for your questions. Operator, please provide the appropriate instructions.
Operator: Thank you, sir. Ladies and gentlemen, we will now begin the question-and-answer session. (Operator Instructions) Our first question is from the line of Tom Pierce with Feltl and Company. Please go ahead.
Thomas Pierce - Feltl & Company: Hi, guys. Just I got more questions in the list, but I am going to start with this. Number of contracts you gathered over the recent year has been ECOtality, Johnny Rockets and Mooyah. Could you give us any sign about where they’re going?
Scott W. Koller: Thanks, Tom. Thanks for the question. I think as we’ve in the past with any type of customer, were in either pilot and/or signed a contract, which we hope to lead to a larger rollout. It’s hard to discuss exactly where we’re with each of those customers as each of their initiatives are different. However, I will say that we’re engaged with all three of those customers actively engaged with all three of those customers. Each one has different dependencies on leading to a larger scale rollout, but we’re actively engaged with them. We’ve been installing with all three of them.
Thomas Pierce - Feltl & Company: Okay. Thank you. I will get back in the queue.
Scott W. Koller: Right. Thank you, Tom.
Operator: Thank you. (Operator Instructions) Our next question is from the line of Jack Frid with Discovery Investments. Please go ahead.
Jack Frid - Discovery Investments LLC: Good afternoon.
Scott W. Koller: Hey, Jack.
Jack Frid - Discovery Investments LLC: Darin.
Darin P. McAreavey: Hey, Jack.
Jack Frid - Discovery Investments LLC: Following up on Tom’s question, I mean [I take it and] to try to ask you about KFC or Starbucks or some of these from the past, it’s kind of the same thing or is it are we further along with some of these?
Scott W. Koller: But specifics of each one of them would be different and it’s really something that we can’t share in this type of forum.
Jack Frid - Discovery Investments LLC: Okay. Thank you.
Scott W. Koller: Thank you.
Operator: Thank you. (Operator Instructions) Next question is from the line of Rick D'Auteuil with Columbia Management. Please go ahead.
Rick D'Auteuil – Columbia Management: Yeah, just drill down a little bit on the QSR space, since you last reported the Supreme Court made the ruling as it relates to the healthcare reform and I guess, what I’m saying is the calorie count and other things were supposed to be drivers for the QSR space. Can you talk about any gain momentum post that or pent up demand post that ruling back couple of months ago?
Scott W. Koller: Yeah, two different phrases you use, I will stay with the gain momentum instead of the driver. The driver is there, everyone knows that they’re going to have to address calorie count. So I think the one other things that did get cleared up in the quarter it’s not going away. That calorie counts were going to have to be addressed and we’re certainly here to talk about other things such as allergens, and what not, so many Board authorization, many board management is not going to go anywhere and its going to become more complicated. We’ve seen an increased activity in RFP or activity even increased activity with the clients we’ve already been dealing with. Still not as fast as we would like to see it happen, but at the same time it hasn’t gone anywhere and it will continue to be a key driver at a pace I hope to see accelerate.
Rick D'Auteuil – Columbia Management: So, I mean, I don’t know if you can give any color, but any – can you give us without disclosing names, any the number of RFPs, the number of RFIs that you’re seeing over the last quarter?
Scott W. Koller: Our last quarter, I would say more than six, less than 12. I think is the best estimate I can give you. It has been, in any given quarter 12 week quarter that’s extensive amount being issued. But that is above and beyond with the work we’ve already being doing with the clients who are engaged with, but I think one thing that was made clear in the quarter is, I think our clients in the industry in general understand that the calorie information requirement is not going to go anywhere, and then they’re going to have to adhere to it and they’re going to have to adhere to it sooner or later. So, I think you’re absolutely correct it will be a key driver and we hope to see it accelerate.
Rick D'Auteuil – Columbia Management: Any timeframes on, within those RFPs that would indicate that we’re within a few months of any rollouts or are the fuse’s much longer than that?
Scott W. Koller: No, I don’t think the fuse is much -- it’s hard to say how long the fuse is, but I don’t think it’s much longer than that. One thing, and that’s a great follow-up question because what I needed to add and I didn’t was; we’re starting to see our fuses actually talk about milestones of when to install this many and then when to install this many and breaking up one specific one came out and said we would like to do this in this year, this is next year and this in the following year. So, for the first time we’re starting to see real traction in what their initiatives and plans are. So yeah, I would say that there is more color in the RFPs on what their plans are and it’s not the, lets choose a vendor test and then determine what we want to do. So, there is some definitive plan’s put into the RFP.
Rick D'Auteuil – Columbia Management: If there is any meaningful rollout that becomes very meaningful to your revenues; doesn’t that mandate that you put out a release on that? So, for instance McDonalds were to do a large pilot this quarter and a large pilot could be enough for them to be very meaningful to you. Wouldn’t you have to say something about that?
Scott W. Koller: Absolutely, if we deem it material and it’s something the investors should be aware of as they’re making decisions in the stock, absolutely.
Rick D'Auteuil – Columbia Management: Okay. And that would be true over a rollout, if Buffalo Wild Wings were to do a substantial rollout, you would have to put that out there too, right?
Scott W. Koller: Absolutely; and we would look forward to putting it out, absolutely.
Rick D'Auteuil – Columbia Management: Okay, okay. Thank you.
Scott W. Koller: Thank you, Rick.
Operator: Thank you. (Operator Instructions) Next question is from the line of Doug Pritchard with Feltl & Company. Please go ahead.
Douglas Pritchard - Feltl & Company: Hey, Scott. Doug [Pritchard].
Scott W. Koller: How are you Doug?
Darin P. McAreavey: How are you Doug?
Douglas Pritchard - Feltl & Company: Good. How about you?
Scott W. Koller: I am doing all right. Thank you for asking.
Douglas Pritchard - Feltl & Company: On your major clients or possibilities or negotiations with these; do you feel that any of those could materialize in the short-term and when I say short-term I don’t mean months or years, I am talking about weeks primarily; do you have anything that close do you think or …
Scott W. Koller: I think the best way to answer that is that, yes. But again it’s not in our control. We’re actively talking to several clients to have shorter term initiative’s, however there’s a lot of moving parts to those initiative’s based on what they’re seeing and the work we’re doing with them. I think one thing that I do want to emphasize and I wish I had said it again without Rick although we talked specifically about QSR is; the activity in Q2 was not just associated with QSR in fact we’re really highly encouraged on the additional activity we’ve seen, RFP activity and client activity we’ve seen in retail and automotive. So, it’s not that we’re sitting here as a one trick pony hoping to get a QSR rollout. The activity in the other two verticals was very encouraging in the quarter. So, but yes, I mean there is projects we’re working on right now that I think can materialize in a shorter timeframe, but again Doug you know that, there’s a lot of moving parts and a lot of that is out of our control. We just need to have focus on execution.
Douglas Pritchard - Feltl & Company: Right, I understand that. And my concern I guess along with that question is of course we’re setting here at $0.75 and you’re coming up in October to maybe being delisted and that was the purpose of my question, because I don’t think we’re going to have something meaningful or otherwise you’re going to go – going to see delisted. So, that is part of my concern. And the other one is that, I don’t know your last part $900,000 for the quarter or drain on cash. And what was that from the year, from the quarter before. How much did you lose the quarter before? I don’t have that right in front of me.
Scott W. Koller: Darin?
Darin P. McAreavey: Yeah, I believe it was – am just going from memory here, but I believe it was under $1.5 million, I want to say it was $1.4 million from (indiscernible).
Scott W. Koller: I believe that’s correct.
Douglas Pritchard - Feltl & Company: Okay. Okay, well that’s answered my question.
Scott W. Koller:
Douglas Pritchard - Feltl & Company: Thank you.
Scott W. Koller: Thank you, Doug.
Operator: Thank you. Our next question is from the line of Don McKiernan with Landolt Securities. Please go ahead.
Donald McKiernan – Landolt Securities, Inc.: Well, thank you. Couple of question’s; first, competitively on the QSR side. Have any of the QSRs gone with some of your competitors in the last quarter or so?
Scott W. Koller: There’s some active rollouts in the last quarter not that I am aware of unless it maybe be a pilot or what not, but I believe there is – Burger King right now is actively rolling out menu boards and there are some active installations going on. However, in the RFPs that we were addressed in Q2 I think maybe one pilot did not go to us and the rest are still in flocks, but it’s a highly competitive marketplace, although I think we do our fair share of our success in trying to engage with the customers.
Donald McKiernan – Landolt Securities, Inc.: And you talked about all the certain non-QSR opportunities that are out there in retail and of course automotive and whatever. Can you quantify how many opportunities across the Board you have collectively?
Scott W. Koller: I don’t know if I can come up, throw on the exact number of the pipeline, we rank all the opportunities in the pipeline by percentage of what we feel the success would be, but I'll tell you that Jane and team has done a tremendous job of growing the pipeline, the pipeline is very robust. And I think the biggest thing I liked seeing in Q2 is it was starting to get weighted more evenly from QSR to the other two verticals. I mean, we have a great product line for automotive. We’ve seen great success with Chrysler and we have worked very hard for a very long time to try to leverage that success within the other automotive manufacturers and we’re starting to see that bear some fruit. In addition the marketing technology strategy we launched last year has helped us tremendously in retail as they’re acutely working on different ways to provide a customer experience that enhances their shopping experience and that new strategy was 100% geared towards that. So, I think the biggest thing I liked was seeing the pipeline grow and also seeing it grow more evenly from QSR to the other two verticals. A specific number, you can give me a call later, I could look up and try to ask Jane the specific number, but I don’t have one for you.
Donald McKiernan – Landolt Securities, Inc.: No. No, problem.
Scott W. Koller: All right.
Donald McKiernan – Landolt Securities, Inc.: And can you talk about the Chrysler relationship, they were going to be marketing some of your services, I believe two other opportunities. Is that correct?
Scott W. Koller: Yes. The Chrysler relationship is still strong. We’re working together on several clients, one of them which will be piloting and is a direct result of us working together more from us providing technology and them providing the merchandizing expertise. I believe this pilot is going to reflect that collaboration very well as this particular client will look at different ways to merchandize based on Chrysler’s recommendation, so and then from a technical standpoint we’ll have to execute on it. No, we continue to work well together and we continue to pursue this market and just hope the market gets a little bit more nimble and accelerated than it is currently.
Donald McKiernan – Landolt Securities, Inc.: Right, right. Thank for taking my question.
Darin P. McAreavey: Thanks.
Scott W. Koller: Thank you.
Operator: Thank you. Our next question is a follow-up from the line of Tom Pierce with Feltl & Company. Please go ahead.
Thomas Pierce - Feltl & Company: Thanks. Guys, maybe you would like to go into a little more information about things like Thomson Reuters and what's going on there, and maybe some thoughts about Buffalo Wild Wings (indiscernible) then obviously the Buffalo Wild Wings and (indiscernible) but you didn’t really (indiscernible).
Scott W. Koller: Yeah, well we had -- I attack Buffalo Wild Wings first and I’ll go into Thomson Reuters. Buffalo Wild Wings as we discussed on the last call has been piloting, testing and working with us on an array of different applications; one being the photo booth that you’ve seen. We know there has been a tremendous response not only within their employees on site but with the clientele as well on those initiatives, and we continue to work with them as they sort of boil down to exactly what experience first and how they want to accelerate that if you will. So we’re still actively involved with them and as soon as we have clear direction on where they’re going and what technologies they will be using, we will show that with the investors as soon as we can. Thomson Reuters; very excited about the progress we’ve already seen. We have trained the Thomson Reuters people. We have initiated the train-the-trainer program where they’re now training their sales team. They have finished up their collateral, they’re launching their website and as I mentioned on the call and in the script that we have already seen traction as a result of that relationship outside of our historical work with their marketing communications department. So, the wealth management department is actually pursuing this product line and we’re starting to see that bear fruit. So, I hope and so does Thomson Reuters quite frankly to be able to share with people the success from that track as soon as we have something of material to share.
Thomas Pierce - Feltl & Company: How many salespeople do they have?
Scott W. Koller: Right now they have about 400 worldwide and again one of the attractive things about the relationship is we’re providing an exclusive product line to them to go out and resell. And most of the salespeople are account management and people focused on this are going into clients they already have a relationship where they’re already selling data to. So again, we don’t expect this to have the ramp up time as some other relationship like this would due to their relationship with the client already and their familiarity with us already.
Thomas Pierce - Feltl & Company: Okay, very good. Now you also mentioned that in the past that you had a bank in United States which is still somewhat with you and Thomson Reuters getting any clarification on that?
Scott W. Koller: The pilot test we were in?
Thomas Pierce - Feltl & Company: Yeah, I guess that.
Scott W. Koller: Yeah, we continue to be in that, and we have done additional installs. We did additional install actually in the quarter, and Thomson Reuters is actually involved in that relationship and Thomson Reuters in that large financial entity are discussing back and forth what their long-term plans will be.
Thomas Pierce - Feltl & Company: All right. Thank you.
Scott W. Koller: Thanks, Tom.
Operator: Thank you. Our next question is a follow-up from the line of Jack Frid with Discovery Investments. Please go ahead.
Jack Frid - Discovery Investments LLC: Hey, Scott. Just a couple of things; on the Thomson Reuters, I know locally you go into the Wells Fargo Bank or even U.S. Bank and -- what's the other one, TCF I guess, and they all have screens in there now. What's going to make us different, does it come down to price, the software, that the NOC maybe you can give us (indiscernible)?
Scott W. Koller: Yeah, that’s a fair question. They have screens in there and most of them are playing some channel on cable TV, and the disadvantage of that is a couple of reasons there is the disadvantage to that. One is, that it has advertising in it and let’s just take one for example. Let’s take any bank, Bank A, and every day in their lobby Bank B plays advertisements, Bank C plays advertisements, it’s not agnostic to advertising. There’s also content that they may not want on there. They really may want a content that doesn’t include financial information. If somebody is in there to make a transaction, [boat loan] whatever type of transaction you want to discuss, they may not want to turn around and see the market is having a difficult day or what not. The real key to it is they’re able to look at a list of data and say; this is the type of information we would like to see mixed in with our own information agnostic to advertising, and that’s really the key advantage. One of the greatest things about this vertical is they do have a lot of the hardware already in place. And they have a recurring cost already by supporting cable. So, to be able to come in and say listen, we can customize the template to provide the news and financial information that you want seen mix in with your own advertisements and that will be the key differentiation. Did that make sense?
Jack Frid - Discovery Investments LLC: Yeah, that makes sense, and I guess as another follow-up to the QSR industry, I’ve been out and seen the Burger King and their new signs and they look pretty nice in there of course they don’t have calorie count, but the digital signs on everything and the same with Wendy's has had some for a while and I guess my question comes down, I know StrataCache as the competitor has been in there on a couple going back to AT&T and McDonalds and Dairy Queen, I mean what’s – again what’s going to give us the edge with these QSR, so again there is a come down to the price, does it come down to the NOC? You said there is a lot of competition for this. What are the big reasons here or the big factors?
Scott W. Koller: I mean the bottom line is – its going to be a combination of all, correct. There is some quality vendors in here and there is going to be competition and there is more than everybody’s fair share to go around to be successful. However, it will be a combination of all of them. We’re going to have to be price competitive. This is a very big initiative for these clients. We’re going to have to execute. That’s going to be the biggest thing. We’re going to have to execute. The NOCs going to have to perform, the software is going to have to perform and we’re going to have to continue to execute on our pilots and the opportunities that we have in front of us. Everyone in the space has to execute. And then we feel like with the marking technology strategy, been able to integrate, we do an off a lot of data integration and integrate with mobile, tablet, web or any other initiative in there, I think we provide a roadmap that’s in deeper details than some of our competitors. But I think its going to come down to execution and we’re going to have to be price competitive, everybody in the industry is going to have to be price competitive. But its – nothing is going to hand it to us, we are going to work very hard and our competitors are going to work very hard. So and I think the difference here is going to continue to be our experience in it, our ability to apply it to different platforms, and our ability to execute.
Jack Frid - Discovery Investments LLC: Okay. Thanks Scott.
Scott W. Koller: Thanks, Jack.
Operator: Thank you. At this time, this concludes our question-and-answer session. Thank you very much for joining us today for our presentation. And this concludes our call for today. You may now disconnect.
Scott W. Koller: Thank you.